Operator: Good afternoon, ladies and gentlemen and welcome to LiveRamp’s Fiscal 2020 Fourth Quarter Earnings Call. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Lauren Dillard, Chief Communications Officer.
Lauren Dillard: Thank you, operator. Good afternoon and welcome. Thank you for joining us to discuss our fiscal ‘20 fourth quarter and year end results. With me today are Scott Howe, our CEO and Warren Jenson, President and CFO. James Arra, President and Chief Commercial Officer, will be participating in the Q&A portion of today’s call. Today’s press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. For a detailed description of these risks, please read the Risk Factors section of our public filings in the press release. A copy of our press release and financial schedules, including any reconciliation to non-GAAP measures is available at liveramp.com. Also during the call today, we will be referring to the slide deck posted on our website. At this time, I will turn the call over to Scott.
Scott Howe: Thank you, Lauren. Good afternoon and thanks for joining us today. Let me begin by saying we hope you and your loved ones are safe and healthy. To say that we are in unprecedented times almost feels cliché, but we are and the rapid onset of the COVID-19 pandemic will have far reaching consequences for months and likely years to come. This is the global time unlike any we have faced before and we are responding by supporting our global employees, customers and partners and community. Our first priority is always to our people and I am incredibly proud of how seamlessly our 1,100 employees transitioned to working remote. We are providing our teams with the tools and resources they need to be productive and serve our customers in a work from home environment. We are doubling down on employee communications all-hands meetings and virtual events to ensure our people feel supported and connected to their teams and we are soliciting and responding to employee feedback through ongoing surveys. We held a very successful virtual sales kickoff at the end of last month and have smoothly transitioned our ramp-up on the road events to a series of virtual summits. While it feels as though we haven’t missed a beat, we also recognize this is a challenging time for our employees and their families and I am so inspired by the resilience, grit and customer obsession our teams have demonstrated. There are silver linings to be found in every crisis. And for LiveRamp, this period has served to strengthen the exceptional culture and character of our company. As a technology partner, we also have a duty to support all our customers and partners as they adjust to these challenging economic conditions by offering products and solutions that help their businesses become more resilient, efficient and innovative. Now more than ever, it is important for brands to stay close to their customers and to demonstrate that their marketing investments are driving quantifiable business results. At LiveRamp, we remain committed to providing the critical infrastructure required for companies and their partners to connect, control, and activate data to deliver customer value and drive measurable return on investment. And finally, we have a commitment to our community and in recent months, we have stepped up our data for good efforts to support organizations that are on the frontlines. For example, in mid-March, we launched a no cost initiative to enable healthcare companies to use our products to recruit healthcare workers to telehealth platforms and to reach out to patients with personalized information in a time of national crisis. In addition, we are supporting a variety of local non-profit organizations in the cities where we have offices. Before turning to the quarter, let me just acknowledge the efforts of all those who are tirelessly to keep us safe and reopen the economy during this period. Thank you. A final, but important thank you before I transition to discussing the business, Mr. Bill Dillard, who earlier today announced he would retire from our Board of Directors when his term expires in August. Bill is a giant in the business world. As CEO and Chairman of Dillard’s, he runs one of the biggest retailers in North America. He has incredible business and financial intellect. And he has been a director for LiveRamp and before that, Acxiom, for more than 30 years. In my time as CEO, Bill has been a professional and personal mentor. He even took me to all the best Arkansan barbecue restaurants in my first year at Acxiom. He is amazing. And I can’t thank him enough for his years of service. We have already started a search for Bill’s board successor and we are prioritizing SaaS expertise, operating experience, diversity and deep understanding of the data ecosystem. Switching gears now to the quarter. Amidst the challenging macro environment, I am pleased to report we delivered another strong quarter highlighted by continued top line execution and improving gross margin trends. Total revenue was $106 million, representing 35% year-over-year growth. Subscription revenue increased 28% driven by strong usage of our platform to support more destinations and new used cases, including measurement, advanced TV and second-party data collaboration. Marketplace and other revenue, was up 71% driven by a record data marketplace quarter. We saw strong growth in third-party data sales in Q4 to support advanced television targeting and our consumer social program. We also closed another solid bookings quarter following record quarters in Q2 and Q3. Up-sell bookings in particular we are strong and we had a number of nice Safe Haven wins driving our average ACV up. Ending ARR grew 29% year-over-year and our subscription and platform net expansion metrics were a healthy 110% and 122% respectively. Beneath the top line, we generated significant gross margin leverage in the quarter and remain focused on driving further efficiencies across our entire cost base in the coming year. And finally, we continue to support our shareholders through our buyback. We took advantage of the recent pullback in our stock to pull forward our planned repurchases. As a result, we opportunistically bought back over $100 million of stock since December 31. While we are very proud of our strong finish to FY ‘20, LiveRamp, along with most companies, will be impacted by the pandemic in FY ‘21. We are carefully monitoring leading indicators and key activity metrics, including pipeline, sales cycle length, conversion rates, contraction and product usage to asses the potential impact this year. We believe in the fundamental strength of our model, but will feel pressured in certain areas. For example, at the end of last quarter, we began to experience a higher trend in contraction amongst our smaller customers. This, in addition, to some non-controllable churn events drove the deceleration in net customer adds in Q4. That said, we are actively pursuing a handful of initiatives to ensure we are delivering world-class customer experience during this time. We recently released several enhancements to our UI and also made significant improvements in reliability and turnaround times reducing the average turnaround time by as much as 40% in recent months. We have also streamlined our customer support structure to get customers faster, higher quality responses. We are also watching our variable and data marketplace revenue closely in line with what others in the space are reporting year-over-year marketplace growth although positive trended lower in April as certain advertisers paused campaign spend. However, we are seeing some early signs of stabilization in May. While we acknowledge the macro environment will present some headwinds for our industry in business, we also know that circumstances like these often bring opportunities. And in the coming months and quarters, we will play from a position of strength by leveraging three core competitive advantages: one, the growing importance of our value proposition; two, our durable business model; and three, our exceptionally strong balance sheet. Let me briefly address each in turn. First, we have an attractive and increasingly important value prop for our customers and partners in this environment. While we would never claim to be immune to the global pullback in advertising, we are fortunate to benefit from the secular wave toward data-driven performance-based marketing. As the budget shift from above the line to below line, we play a critical role in helping our customers spend smarter and demonstrate clear return on investment. Our product suite and in particular solutions like ATS, advanced TV and Safe Haven helps to ensure every marketing dollar spent is addressable, accountable and measurable. We continue to experience strong global traction with the authenticated traffic solution, or ATS. It feels like the industry is rallying around ATS as the solution for a post-cookie world. And we have seen a nice uptick in recent adoption. We currently have 18 SSPs live with or implementing ATS and we were excited to recently go live with InMobi, our first mobile SSP. On the demand side, we have 35 DSPs bidding on IDL, or in the process of implementing, including Amobee, Beeswax, Criteo and MediaMath. And perhaps most validating is the recent global publisher momentum we have generated. We now have people based integrations with over 30% of the comScore 50 and have publishers on board in the UK, France, Italy, Spain, Germany, Australia and Japan. Continuing to evangelize and drive adoption of ATS will remain a top priority in the coming year. We know this is an area of interest for many of you. So we have included additional resources on our website and plan to host another ATS-focused investor webinar in June. Next, we believe the last 2 months have significantly accelerated our opportunity in advanced television. If there were ever to be a tipping point for data-driven television, we are witnessing it. With live sports canceled and the traditional upfronts canceled or postponed, we are seeing a sharp shift in activity to regional buying and CTV, both of which have the opportunity to be data-driven and addressable. Our CTV related revenues were again very strong in the quarter and our total advanced television business was up well in excess of 50%. As the economy begins to gradually reopen and as TV advertisers reengage targeting and in particular regional targeting and measurement will become more important than ever, we are uniquely positioned to help these advertisers find targeted audiences across addressable television and streaming platforms and measure how those campaigns are driving business outcomes with Data Plus Math. The dramatic shift to streaming, and in particular, AVOD streaming services during this time also presents an interesting opportunity for us to help brands find cord-cutters and cord-nevers where they are now consuming television. Finally, our Safe Haven solution has also generated tremendous global interest since its official launch this year. The current environment has spurred a moment for the industry to pause and reflect on its current strategies and practices and as a result, many retailers are looking for ways to modernize their tech stack, which is exactly, exactly where Safe Haven comes in. I will let Warren share more in our progress in this area in a moment as Safe Haven was really borne out of the innovative work we have been doing internationally with Carrefour and several other leading brands under Warren’s leadership. While no one can predict exactly when we will see a recovery or what it will look like, what we do know is that data-driven advertising has an important role to play today and an even bigger one as advertisers begin to strategize how they emerge on the other side of this pandemic. Second, we have a durable business model and diversified customer base. In recent quarters, there has been some debate around whether LiveRamp is true SaaS or ad-tech. We hope our performance during this period serves to take that debate off the table. While peers in the ad-tech space are forecasting sharp year-over-year revenue declines, we are forecasting growth. LiveRamp is enterprise SaaS and we generate recurring subscription revenue. Approximately, 80% of our revenue comes from subscription contracts and more than 70% of our committed revenue or RPO is tied to multiyear deals. This provides us more stability than most as we navigate this period. We are also fortunate to have a diversified customer base, with approximately 780 direct subscription customers spanning a variety of verticals and geographies. Exposure to the most impacted industries like travel, hospitality and entertainment is highly manageable. And for these customers, we are developing a series of hit the ground running packages, designed to help ready their data and capabilities for a quick restart when the economy stabilizes. Finally, we have an incredibly strong balance sheet. With more than $700 million in cash and no debt at year end, we are fortunate to have the flexibility to continue to invest in product innovation and our key growth initiatives, while also making bold investments to secure our future growth. In the coming year, we intend to aggressively invest in the continued platformization of our infrastructure in our key future growth initiatives like television and Safe Haven. In addition, our strong financial position enables us to explore smart and strategic acquisitions and partnerships. Like the partnership we announced with comScore a couple of weeks ago which we believe is a game changer for outcome-based television measurement. This preferred partnership provides customers, access to comScore’s unified television viewership data spending tens of millions of addressable households for outcome-based measurement through Data Plus Math and additional activation and measurement use cases through Safe Haven. In short, it means that an advertiser running an advanced television campaign now has even more options available for measurement, segment creation and understanding business outcomes. We are very excited to team up with comScore to bring these combined capabilities to market. To conclude I will end where I began. We are in unprecedented times and we expect this pandemic to have lasting effects on how companies do business now and in the future. But as Warren and I have often said, data usage is only growing in importance during periods of great uncertainty, leaders lead and we will navigate the coming months and quarters from a position of strength. We play a critical role in helping companies deliver relevant and meaningful experiences to consumers. We have a set of products designed to deliver immediate value to customers by enabling their marketing spend to be addressable, accountable and measurable. We have a recurring subscription business model, diverse customer base and a strong balance sheet, which provides us flexibility to drive innovation and invest for long-term growth. And importantly, we have a nimble and resilient culture and a team of global LiveRampers who are up for the challenge. With that, thanks again for joining us today and a big thank you to our exceptional customers, partners and employees for their ongoing support and hard work. I will now turn the call over to Warren.
Warren Jenson: Thanks, Scott and good afternoon, everyone. Thanks for joining us. Before jumping in, I too would like to thank our associates for their awesome work over the last several weeks. I feel fortunate to work with such great people. I also hope that all is well for each of you and your families. I would like to focus my remarks today on four areas: first, briefly talk about Q4 highlighting the strength of our position going into this downturn; next, share a few performance highlights from April and the first 2 weeks of May in other words what we are seeing right now; then share a few high level observations about FY ‘21 and finally our Q1 guidance. Q4 results, LiveRamp’s position of strength. Please turn to Slide 4. Well, in short, we entered this crisis with considerable momentum and from a position of strength. Almost every critical metric was up close to or over 30%, Q4 revenue was up 35%, subscription revenue up 28%, bookings grew by 31%, current RPO, or our next 12-month backlog was up 29%. And ARR ended the year up 29%. And notably, marketplace was up 71%, driven by strength of our performance in TV. Net retention was 110% and platform net retention was a strong 122%. Our growth initiatives are on a roll in setting the pace for innovation globally. LiveRamp Safe Haven, earlier this year, we launched our Safe Haven platform and we have been winning globally. This calendar year, we have entered into Safe Haven partnerships with over 10 leading global brands, including another top 5 U.S. retail companies in the world; carwow, the leading online automotive marketplace in the UK; and MiQ, a programmatic media platform in China. In addition, TV had a standout quarter. TV-related revenues were up over 70% year-over-year. Operationally, it was also a great quarter as our gross margin exceeded 70% for the first time as the standalone business. We have now fully absorbed our extra public company infrastructure costs. Interestingly, in the U.S., our gross margin was 73%, which is very close to our long-term model commitment. Our operating loss was $16 million. As part of our year end close, we scrubbed our balance sheet and added approximately $3.5 million in incremental bad debt reserves to cover potential COVID-related challenges. Of our total expenses, approximately $10 million was largely one-time in nature. And lastly, we ended the year with a very strong balance sheet. Our cash balance was $718 million and we have no doubt. We have been through our receivables with a fine tooth comb and we feel our exposures are appropriately reserved. We were careful over the last few months, but at the same time, we are opportunistic with our buy back. And as a result, we took the opportunity to front-end load our FY ‘21 repurchases. Calendar year-to-date we have repurchased 3.1 million shares for a total consideration of $103 million. Since inception of our buyback, we have returned approximately $1.2 billion to our shareholders. In summary, we ended FY ‘20 in an incredibly strong position. We are in the middle of a powerful secular growth curve and have a great set of customers, employees and products. Our lagging and leading performance metrics are strong and our products are winning. We are helping to power the secular trend toward outcome driven advertising and addressability. And finally, we have a balance sheet that is the envy of the industry. But as we all know that was then. So what are we seeing now?  For the next several minutes, I will focus my comments on three areas: first, metrics, what are the numbers telling us; next, what have we done to manage the crisis and ensure we will lead and win in economic recovery; and finally, share our perspective on FY ‘21 and provide guidance for Q1. Metrics, what are the numbers telling us? Please turn to Slide 13 industry concentration and customer concessions. First, we are SaaS and as a result, our revenues are highly durable. As this chart shows, our client mix is also diverse. As you would expect, we have worked with our customers who have been severely impacted. For those customers in some cases, we have temporarily paused our service and billing for a short period of time, usually about 3 months. Typically, that accommodation has also included a contract extension. To-date, concessions have been highly manageable and have totaled about 4 million. These concessions will impact our near-term revenue and have been factored into the guidance we will share later on this call. In summary, our client mix is diverse and our SaaS revenue is resilient. And while things could always change, customer concessions have been manageable. April results. Please turn to Slide 14. In short, we grew. Subscription, marketplace and ARR, all improved year-over-year. We continue to win and close business. Further, we have seen no deterioration in the records being uploaded into our platform. In fact, our volumes indexed against the first 10 weeks of the calendar year were up in April and for the first 2 weeks of May. However, the usage portion of our subscription revenue as a percentage of total subscription revenue did decline compared to the prior year. Typically, the variable portion has averaged between 10% and 15% of total subscription revenue. For the month of April and the first 2 weeks of May, variable is averaging low to mid single-digits as a percentage of total subscription revenue. Net, while down as a percentage of revenue, we continue to see usage from customers in excess of their committed minimums. Before talking about our approach to an outlook for FY ‘21, I would like to share a few of the challenges we are seeing. While we are obviously thrilled with the resiliency of our platform and the reception of our products, we would be the last to argue that our business is not being impacted by the downturn. It has been and is. Specifically, we would highlight that we have seen pipeline push out. Make no mistake, we are still closing deals, but deal cycles are extending. Next, we expect our net new customer adds to slow considerably as a result of higher churn and fewer new deals closing in this environment. We felt some of this pressure in late March. It is conceivable that we may have a quarter, where our net adds are flat to down. We expect our results internationally to continue to be pressured. Next, we expect our retention metrics to be pressured for the reasons mentioned above. And it’s very possible that there will be more requests to put our service on hold, particularly in industries where recovery will lag. In summary, we feel very fortunate to be the category creator and innovator in the best business which is benefiting from a powerful secular trend. We are Switzerland and the industry needs a neutral identity infrastructure. Our products drive real results. This is more important than ever during this critical time. We are SaaS and the resiliency of our subscription business is clear. And finally, we are clearly feeling – while we are clearly feeling the impact of macro forces, we have and are managing the impact. In short, we are still growing. I would now like to spend a minute and share our approach to the macro challenges. As many of you know, I was Amazon’s CFO in the company’s early days. 20 years ago, the markets and press turned on Amazon. Pretty sure, it was the Wall Street Journal who came out with the headline, Amazon.bomb. The stock went to $7. That said, Amazon had a unique advantage and challenge. Its customers love the service, but the company was bleeding hundreds of millions and absent change was a goner. It seems hard to believe today, but true. History now tells the rest. In those dark days, Amazon became free cash flow positive, but simultaneously drove massive innovation. Used goods were sold next to new. The company entered into platform joint ventures with Toys "R" Us and Target. And as a result, the origins of AWS were seeded. Its fulfillment centers became an asset as third-party merchants could use Amazon’s infrastructure and sell next to Amazon’s owned inventory. What’s seldom discussed though was how buttoned up Amazon became. In short order, every operational process got good. My words, Amazon got control of the knobs really, really fast. And 20 years later, the rest is history. So, what we have been up to at LiveRamp? As the world around us changed, our leadership team gathered virtually in mid-March and set some objectives and guardrails for replanting the company’s coming months and quarters. Specifically, we would protect the health and well-being of our employees and our company’s culture, delight our customers and focus on their needs, deal with the new realities, and move quickly to take actions, and finally, take steps to ensure we would protect our business in the short-term, but also when in recovery. Specifically, on the top line, double down on new initiatives like ATS, TV and Safe Haven, and on the bottom line, tighten up our operational processes to accelerate our drive toward operational excellence, profitability and margin expansion. Please turn to Slide 16. This page summarizes the financials associated with 8 weeks of focused planning and activity across every function of LiveRamp. We built detailed plans for accelerating our investments in ATS, TV, Safe Haven and B2B. These investments will mostly show up in R&D. Next, we have built strategies to boost productivity in every functional area of the company. As an example, as a result of changing work practices, we don’t intend to add any new lease space this coming year. We have also retooled our quote to cash practices and where we had opportunity, we went after reducing discretionary spend. In short, we are excited and leaning in. We have protected innovation and are doubling down on some big opportunities and at the same time have dramatically brought in our profitability timeline. I’d like to close by summarizing our thoughts on FY ‘21 and then provide specific guidance for Q1. Please turn to Slide 15. While we don’t intend to give traditional full year guidance, we wanted to summarize the positives, the challenges and the likely implications. Our net take-aways are on the rise. Secular trends are in our favor. We expect FY ‘21 will be a growth here albeit modest. Given what we see today, we expect meaningful profit improvement and manageable cash burn. Our balance sheet and liquidity are secure. And finally, the importance of our platform and products puts us in a great position to win and accelerate in economic recovery. For Q1, we expect revenue of approximately $88 million and a non-GAAP operating loss of up to $12 million. Please keep in mind that this guidance excludes intangibles, stock-based compensation and restructuring and related charges. A few other call outs. In Q1, our guidance is intended to be conservative, but it is also appropriate. Given the sequential decline in revenue, we would expect gross margin to be down sequentially. We expect approximately $6 million of restructuring and related spend and $1 million of CapEx. Finally for the year, a few additional items. Buyback, given the market dislocation, we have purposely front-end loaded our repurchases. Therefore, we do not expect to be in the market for the remainder of the calendar year. That said, we will not hesitate to be opportunistic should circumstances warrant. Note, that during the year, we expect to receive a tax refund of approximately $30 million as a result of being able to carry-back our FY ‘20 tax losses. Other full year guidance items have been included on Slide 19. Before opening to call to questions, I will close with a few final thoughts. First, again, a huge thank you to our customers and employees. It is you who make this company great. Next, we are approaching the coming months and quarters from a position of considerable strength. We are SaaS and our revenues are resilient. We sit at the center of a strong secular trend and have taken steps to deliver a solid top and bottom line performance through the downturn and are investing and tightening to ensure we lead in recovery too. It’s a great time to be at LiveRamp. With that, operator, we will open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Dan Salmon with BMO Capital Markets. Your line is open.
Dan Salmon: Good afternoon everyone. Thanks for taking the questions. I’ve got one for Scott, one for Warren. Scott, I would be curious just to hear a little bit more of the nuance on your conversations with clients if we can sort of remove the effect of the pandemic if that’s possible. And what the tone of conversations is with clients around some of the key issues that were driving adoption of your products previously, including obviously the challenges to third-party cookies and particularly to notice that a lot more people tended to take once Chrome made their announcement regarding that. So I’d love to just hear what the conversation is broadly around? And then Warren, I understand that the fiscal ‘21 guidance of albeit modest growth, I guess when we see that and compare it against plus 14% in April. I guess it’s fair to say that where some of these negatives around, especially say pipeline pushing out in some concessions are driving something that we would expect to be below the April rate, is that how we should take modest to be? Thank you.
Scott Howe: So, Dan, it’s Scott. And I will start, but also invite James. James Arra is on the call with us as well and so he can probably provide some real anecdotal color around what I am about to say. So what I would I tell you is there is a real headwind from COVID, but also a real silver lining. And certainly, the economy is in a different period, different state than it was just 6 short months ago. And we absolutely work with some clients who are hard hit by that. Travel, retail, automotive, they have been hard hit and you can see in particular, their television investments, their broadcast television investments. I mean, they really pull back. But within that backdrop, I think all of our clients have found that they have little bit of breathing room to stop and think as opposed to just execute, execute, execute. And so the conversations around third-party cookie depreciation and their response have certainly accelerated. We especially see that from publishers. I think there was kind of a misperception in the industry that the authenticated traffic solution was a replacement for third-party cookies. No, it’s not an or it’s an and that even before third-party cookies go away, publishers who embrace ATS can make what was 40% of their inventory that was previously unaddressable through Safari or Firefox, they can actually lock in significantly higher yields, I mean 20% more. And so as a result, those conversations have really found wings. Our direct clients also as they think about what spend remains and what additional spend they will activate as they come out of the recession they are really focused on measurability and ROI. And those two characteristics really play to our strengths. So we were talking earlier we tend to be the last one to leave and the first one back meaning that when clients turn off their efforts, the direct accountable stuff is the last thing that they will ever want to touch. And it’s the first thing that they want to reactivate coming out of a downturn. And so that spurred additional conversations for us in things like connected television, where clients realize there is no upfront. Behavior is shifted to in-home behind screens and the only way to reach young people is through connected television, the light switch we can provide moreover because we have a dataset that allows them to buy far more granularly than GRPs or TRPs. They can actually target their audience more effectively. So a lot of good opportunities for us to go mine in this downturn.
Warren Jenson: And then down – James go ahead.
James Arra: Sure. Thanks, Warren. Hey, Dan. Yes, just to give you some client anecdotes, just clearly, the COVID shutdown is having an impact that no one could have predicted a few months ago, but our conversations with our clients have always been around two primary themes and that’s addressability and measurability. And the interesting thing we saw at the end of last quarter and then even in April is many – we are seeing some pipeline push, we are also seeing some of our companies look to this as an opportunity to really think about what to do once they are out of the COVID shutdown. And just two examples I want to give you one is with a fantasy sports platform. And we thought for sure our deal at the end of last quarter would be dead in the water, but we were able to show them that once we get through this period, here is all the things they need to do and they ended up signing a deal at the end of the quarter. So we are really pleased with that and that’s an example of the company thinking about what happens after the shutdown. I mean, another one is in the QSR space, we signed a new logo deal, 7-figure deal with one of the major QSR companies out there and they are clearly not as impacted by the COVID period, but they are using this as an opportunity to really think about the strategy and think about how to drive to more of a data-driven approach, how to drive to more measurability and more addressability. So there is certainly a lot of silver linings in what’s happening and we really believe strongly we are well-positioned to help our customers through the recession and to really recession-proof their businesses.
Warren Jenson: And Dan, let me – this is Warren, let me chat a little bit about our guidance. First, let me just start off by saying we were incredibly pleased by what we saw in April and the resiliency of our business across the board. As you would expect however, we like you were watching everything very, very carefully and in particular watching the variable portion of subscription revenue and marketplace. So, what about our guidance? A couple of things I want to mention. First as I did in my prepared remarks, we intended our guidance to be conservative and let me just kind of put another phrase around that, we wanted to give you guidance you can take to the bank and I am going to mention three things. First of all, overall revenues will be up for the year. Subscription revenue will be up for the year. And we expect profitability improvement. So again, we fully intended the guidance to be conservative, be conservative and secondly guidance you can take to the bank.
Dan Salmon: Thank you.
Scott Howe: Thank you.
Operator: Your next question comes from Stan Zlotsky with Morgan Stanley. Your line is open.
Stan Zlotsky: Thank you so much. Ladies and gentlemen, thank you so much for taking my questions. The first one for me, the connected TV business, we are certainly hearing a lot about it in the industry news with the upfront going away as you mentioned. How are you thinking about this business and whether this really could – the COVID as terrible as the whole thing is, maybe this could be a massive shift that finally pushes the whole industry away from the right legacy way in which TV advertising was bought and really push it to this connected TV and digital buying? And then I have a quick follow-up.
Scott Howe: Yes, Stan, it’s Scott. So, connected TV for us was up very, very strongly in Q4 and we expected to have another very strong double-digit growth year in FY ‘21. I do think this is as close to a tipping point as we will see. Things are starting to move. I think the first harbinger for us is just the sheer number of client conversations that we fielded. And yes, it’s picked up perhaps in the last couple of months. However, these were strong over the last 6 to 8 months that this trend was already coming. The other thing that I mentioned briefly in my prepared remarks, but one of the advantages that we have as a company right now is we do feel like we have really strong balance sheet and that’s going to allow us to be very strategic in commercial deals as well. And so one of the things we announced in the last couple of weeks was our deal with comScore. In the television space, there are kind of two things that really matter. Number one is addressability, the ability to identify who is living behind the set-top box and that’s something that we have long prided ourselves on the ability to do, but the other piece of that is viewership. What are they watching? And through the comScore commercial deal that they announced in their earnings call couple of weeks ago, we have licensed viewership data for really significant number of households. I mean when you talk about both set-top box and connected television we are talking upwards of 80 or 90 million devices. So, that really I think allows us to bring scale to the conversations we have and really offer a compelling value proposition to our advertisers. So, all this to say we are really excited about what’s to come here.
Stan Zlotsky: Got it. And then just a follow-up on the expansion and actually I guess the flipside, the contraction rather that you are seeing within your existing customers, maybe help us to break it down between the 22% of your ARR that’s really coming from these heavily impacted industries and what you are seeing there is the contraction there isn’t full stop, we are stopping everything and or is it maybe just a slight pullback? And then the other 78% of your business and with the contraction looks like on the other side? That’s it for me. Thank you.
Scott Howe: James, do you want to...
James Arra: Stan, this is James. Yes, I will go ahead and take this. So, let me start with saying Q4 was a really good quarter and as Scott mentioned in his prepared remarks, it was our third largest bookings quarter ever. And similar to other quarters for FY ‘20 roughly 65%ish of that was an up-sell. So, we are still seeing significant growth within our customer base. Now, what we experienced towards the end of Q4 and what we are being very cautious of in our guidance for FY ‘21 is we did see a number of very small clients sub $50,000 a year clients pull back and we saw churn from there. The other thing we saw was some non-controllable churn. There was some major acquisitions that have happened where both of our clients – both sides of our clients, so we saw that impact to a certain extent and then some bankruptcies and some non-payment. We saw that pickup quite substantially in Q4 as well. So, all that being said, we are always looking for ways. We can provide more value to our customers and we will continue to do that. And we have always said that that churn is an opportunity for us and we are really looking for ways that we can continue to drive more value. Now, the COVID impact for specific to the 22% that we outlined, there what we are seeing is them ask for concessions and we are being a good partner and we recognize that they are going through some very, very tough times right now. And we are working with them as they shut things down right now, but we don’t view this as a situation for the companies that survive this and we think many of our customers well. We don’t necessarily view that COVID shutdown as a churn event. In fact just earlier today, a major hotel chain that 2 months ago had asked us to pause because they were shutting down everything and furloughing employees. They came back to us today and said they are starting backup. We were expecting the conversation to be hey, we are going to need another month or we are going to need another 2 months and it was the opposite. They are already gearing up for the reopening. So we are viewing that as a really positive sign.
Stan Zlotsky: Perfect. Thank you so much.
Warren Jenson: Sure.
Scott Howe: Thank you.
Operator: Your next question comes from Brian Fitzgerald with Wells Fargo. Your line is open.
Brian Fitzgerald: Thanks, Scott. I wanted to drill down just a little bit more on the mechanics of that lower usage, is it fewer campaigns, fewer segments, customers using fewer touch points or just the impact to your point clients who are pulling back very hard in advertising and any broad trends or themes to tease out there, how quickly you see that bouncing back as we exit? Thanks.
James Arra: Yes, I will start and then Warren, why don’t you weigh in with some of the macro metrics that we are seeing. So for the customers that have requested a pause and really this is a concession that we are giving. It’s really due to the fact that either completely shut off all marketing and in many situations have furloughed employees because of the shutdown where there is just no reason for them to be spending that money. But we are staying engaged with these customers, we are being a good partner and what we are also doing is we are helping them build their startup plans. So Scott mentioned this in his remarks as well. Once we get out of sort of COVID shutdown mode, there is going to be a meaningful recession and we strongly believe we can help our customers through recession, because budgets are going to be constrained and what they are going to need to maximize the value they get out of every marketing dollar they spent and the way they do that is through measurability and addressability and that’s the areas that we really help them what. So, for many of these customers that are on pause, we are staying engaged, we are working with them on their plans for how to restart and what they should focus on and we believe that will help them and will help us accelerate out of this very quickly.
Warren Jenson: A couple of things Brian that I had mentioned that are also I guess one thing very specific to the numbers and then a couple of things anecdotally. It was really interesting. A large global consumer brand that spends, I don’t know how many hundreds if not billions of dollars on advertising came to us about 30 days ago and they said we have pulled back 80% of our advertising globally, but we have also made the decision that when we come back we are going to come back with 100% addressability. And so we are working with this brand on putting them in a position to do exactly that and that’s the sort of thing that we are seeing from our customers. The second thing is that obviously as it comes to usage for April and for the first 2 weeks of May it’s been we said loaded mid single-digits, so call it 4% or 5%. So, it is down from 10% to 15%, but it’s still positive and would argue at least for now it’s certainly stable. And then one other interesting specific in terms of the concessions we have given to people as I noted in the call and I will just repeat it typically they are 30 to 90 days and then also for the vast majority of those we also extended our clients – or extended our contracts. So, it was very much just a pause. And over I think James wasn’t it over 70% of those requests came in the first 10 days or so of April? So this was very much front-end loaded and we just have not seen any kind of volume like that over the course of maybe the last 4 weeks.
James Arra: Yes. That’s exactly right.
Brian Fitzgerald: Got it. Thanks, James. Thanks Warren.
Scott Howe: You got it.
Operator: Your next question comes from Shyam Patil with Susquehanna. Your line is open.
Shyam Patil: Yes, good afternoon. Thanks for all the transparency and color. I wanted to ask a few questions or couple of questions around the marketplace business. It seems like its trending much better than what we have seen for programmatic spend. And I was just curies why you think that is and when you look at just the programmatic display portion of that business, are you seeing any changes in terms of data elements per campaign, less uses there? And then Warren in your fiscal year expectations, just in your base case, how are you thinking about just the marketplace on? Thank you.
Scott Howe: So, Shyam, it’s Scott. First off, on the marketplace business, remember that if you think about the customers of our data marketplace business, it’s actually fairly broad. Yes, we work with direct brands, but we also work with some of the large platform and tech providers. And importantly, when they are ingesting data through our data marketplace, they are using it to enhance their own products. So, it’s not just for programmatic, it can be for programmatic, it can be for television, but in many cases, it’s even more broad than that. I think there is going to be a real benefit in the coming year for us with television, because to the extent that an advertiser feels that just buying thin demographic sets on broadcast television that no one is watching anymore is kind of a tired approach. Well, they can actually utilize Data Plus Math to go find a much more granular audience. So, we think that will be an enabler for that business over time. That said, it is the one area, because its variable – much of it is not subscription that we think will be most impacted by the recession. And so we have put in place a conservative forecast. In terms of the data elements, the people are buying the mix, it’s not something I know off the top of my head, but we will look at that and let you know, I mean we certainly have good line of sight to that.
Warren Jenson: And then in terms of our guidance just our outlook for the year, I’d probably just repeat a little bit of what Scott said we are again very pleased by what we have seen in April and what we have seen really month to date in May. That said just given all the uncertainty this is one of the areas that we are watching throughout the year and we have tried to be appropriately conservative in our internal outlook such that we right-sized everything, but at the same time we are optimistic but also cautious.
Shyam Patil: Great. Thanks, guys.
Warren Jenson: Thank you.
Operator: And our next question comes from Kyle Evans with Stephens. Your line is open.
Kyle Evans: Hi, thanks. Scott, you mentioned…
Scott Howe: Hey, Kyle.
Kyle Evans: Hi. You mentioned that ATS was causing some of your constituents to rally around and as kind of a solution in a post tricky world. Could you talk about what you have seen geographically, I know there are other countries that have higher exposure to Safari and Firefox? I was wondering if that was a good kind of leading indicator for what we would expect from the rest of worlds going forward?
Scott Howe: Warren runs on international business. You want to talk about that?
Warren Jenson: Go ahead and jump in, I will follow-up.
Scott Howe: Okay. I mean, in my prepared remarks I talked about just this – the traction we have gotten outside the U.S. I think we have signed double-digit international publishers in the last quarter as an example. And in certain markets, particularly in Europe and much of the Asia, this is the only solution for publishers, I mean, they have even more stringent privacy regulation, but they need to navigate. And so it’s just so important that they go out and rather than rely on someone else to sit as the intermediary and potentially disintermediate them that they collect their own authentications, their own consents. Any publisher who has compelling content is already offering a value exchange and it’s just making that from being an implicit value exchange to explicit. And as soon as they do that, as soon as they collect those consents and literally upload a lighter code on their page to benefit from ATS, then they can start to generate significant advantages and monetization. Our initial tests have suggested that could be 20% or more and obviously in markets that have the most adoption of Safari and Firefox or the most exposure to Chrome, the yield is going to be even greater and the urgency to adopt something like ATS will increase. So as a result, lot of traction, I think the biggest challenge for us is how to evangelize that without getting on airplanes, but our team has done a really great job of hosting vid con sessions, webinars and we have a lot of content on our site if you are interested in learning more.
Warren Jenson: Kyle, let me add a couple of things to what Scott said that really excites us from an international and global perspective. I just remind everybody that ATS is not a U.S. thing, it’s a global thing. So it is truly a global product offering for LiveRamp. And when you think about our acceleration and recovery, this really globalizes our company much, much more quickly. We have momentum with ATS in Japan. We have momentum with ATS in Australia. We have momentum in Italy and Germany, France, UK and keep going in Spain. So, this is a global phenomena and it is a global phenomena with brands. Many of the largest advertisers in the world again are not simply U.S. companies, they are global companies and they want uniform addressability in every single market in which they operate and that’s a very, very positive thing for us. The second thing that I would note for everybody that this had time to sit down and work with us and hear about what we are doing with our Safe Haven platform. ATS and Safe Haven are very natural partners and they are natural partners for brands and they are natural partners for publishers, which again accelerates our opportunity. And again, when you think about Safe Haven, it just revolutionizes how companies collaborate and it was also built in a privacy first way, it was built for GDPR. So the combination of those two things really we believe speak and in fact the results are showing it bode well for us globally over not only the near-term, but also very much so as the world lives on from this crisis.
Kyle Evans: Great, thank you.
Operator: And that is all the time that we have for questions. I turn the call over to Warren Jenson for any closing remarks.
Warren Jenson: Great. Well, thank you operator and again a huge thank you to everyone for joining us today. And most importantly, I would like to repeat something I said in my prepared remarks just a huge thank you to our customers and our employees. It’s you who make this company great. I would like to conclude with, I guess just a few thoughts as you think about the year ahead and what we have talked about today. We will grow in FY ‘21 and our subscription revenue will grow in FY ‘21. When we think about momentum in the near-term and we think about momentum and recovery. Our products are winning whether it’s TV, whether it’s Safe Haven, whether it’s ATS. We believe we have given you guidance that you can take to the bank with profitability improvement and that is always for everyone just as we have done this past year, we will be highly strategic with our capital. And let me put it this way in the near-term and on anything discretionary, we will be very stringy, but also we intend to be very strategic. So with that, thank you all very much for joining us. We look forward to talking – speaking with you over the coming days. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.